Operator: Welcome to Isis Pharmaceutical’s Second Quarter Financial Results Conference Call. Leading the call today from Isis is Dr. Stan Crooke, Isis Chairman and CEO. Dr. Crooke, please begin.
Stan Crooke – Chairman and Chief Executive Officer: Good morning and thanks everyone for joining us on today’s conference call to discuss the financials for our second quarter 2008. Lynne will review the financials and our progress today and I will primarily focus on the milestones that we hope to achieve in the coming months. Joining me on today’s call are Lynne Parshall, COO and CFO; Beth Hougen, Vice President of Finance; and Kristina Lemonidis, Associate Director of Investor Relations. Kris, would you read the forward-looking statement. Please.
Kristina Lemonidis - Associate Director of Investor Relations: Sure. Thanks, Stan. Good morning everyone. A reminder to everyone that this webcast includes forward-looking statements regarding Isis Pharmaceutical’s business, financial position and the outlook for Isis, as well as its Ibis Biosciences subsidiary, and its Regulus joint venture, and the therapeutic and commercial potential of the company’s technologies and products and development. Any statements describing Isis goals, expectations, financial or other projections, intentions or beliefs is a forward-looking statement and should be considered an at risk statement, including those statements that are described as Isis’s goals or projections. Such statements are subject to certain risks and uncertainties; particularly those inherent in the process of discovering, developing, and commercializing drugs that are safe and effective for use in human therapeutics; and developing and commercializing systems identifying infectious organisms that are effective and commercially attractive; and in the endeavor of building a business around such products. Isis forward-looking statements also involve assumptions that if they never materialize or proved correct, could cause its results to differ materially from those expected or implied by such forward-looking statements. Although, Isis’s forward-looking statements reflect good faith judgment of its management, these statements are based only on facts and factors known by Isis. As a result, you are cautioned not to rely on these forward-looking statements. These and other risks concerning Isis’s programs are described in additional detail in Isis’s annual report on Form 10-K for the year-ended December 31, 2007, and it’s quarterly report on Form 10-Q for the quarter ended March 31, 2008, which are on file with SEC. Copies of this and other documents are now available from the company. Back to you Stan.
Stan Crooke – Chairman and Chief Executive Officer: Thanks, Kris. Here are the main points that we would like to make on the call today. First, we are in the strongest financial position ever in the history of the company. Second, thanks to the efficiency of antisense technology and novel business strategy that it supports, we’re able to continue to add lot of the new drugs to the pipeline every year to advance a very broad pipeline of drugs in development and to continue to advance our technology with the net operating loss at this year will be less than $15 million. Third, in the first six months of 2008, we’ve shown progress in every element of the business. We’ve added new drugs to our pipeline, we’ve recorded encouraging clinical data for several drugs in the pipeline, our Ibis division continues to do an excellent job. The progress that Ibis has made is punctuated with the $220 million investments by Abbott. Our newly formed joint venture Regulus is making excellent progress in microRNA drug discovery and has completed the significant partnership with GSK shortly after we formed Regulus. Finally, we’ve had continuing success in business development to provide financial strength and such stage for the performance in the coming months that we’ll be talking with you about. We believe that our performance in the second half of the year will be as impressive as the progress that we’ve made in the first half. At the conclusion of our conversation in fact, I’ll spend some time with you talking about those upcoming milestones. Now I’m going to turn over to Lynne.
Lynne Parshall – Chief Operating Officer and Chief Financial Officer: Thanks Stan. As Stan said we’ve had a great first half of this year. We’ve demonstrated that our strategy is working, producing concrete results across the board, with results that we’re in the strongest financial position we’ve ever enjoyed and are able to continue to aggressively execute our business strategy. Just to give you some more concrete examples, in the last 12 months we’ve moved two drugs into development. Started clinical testing on three drugs and moved one drug into Phase III clinical testing. This dynamic maturation of the pipeline will continue throughout the year and beyond. In addition, we and our partners have presented encouraging data on multiple drugs including positive mipomersen activity in long-term safety data and other enhancements to the product profile. Our publication and circulation showing that in pre-clinical study mipomersen lowers Lp(a) and oxidized-LDL, two additional independent risk factors for cardiovascular disease. Data at ASCO highlighting our cancer drugs developed by OncoGenex similarly. A presentation in eight posters at the ADA highlighting not only the attractive pre-clinical profile of our SGLT2 inhibitor but also the exciting progress we are making with antisense drugs to treat obesity. And last month our partners Teva and ATL presented very encouraging data on ATL TV-1102 our VLA-4 drug in patients with MS. We have also continued to get done what we promised. We completed the license with mipomersen to Genzyme on time and progressed the Phase III trial for patients with Homozygous FH. We continue to make progress on mipomersen in fact as we announced yesterday we initiated the Phase III studies in Homozygous FH patients with coronary artery disease. We also achieved Abbott’s second $20 million investment in Ibis as planned and we are continuing the strong momentum. Just yesterday we also announced a patent allowance granting broad coverage of antisense compounds targeting anywhere in the apoB messenger RNA including the site to which mipomersen binds. So, now let’s stack up and take a few minutes to briefly discuss some of the financial highlights of the second quarter. I assuming you all read our release so I’m not going to go through all of the details. We ended the second quarter with more than $535 million in cash. Our total revenue for the first half of 2008 increased $48 million from the same period in 2007 almost an eight fold increase. In addition to the $175 million licensing fee from Genzyme, we continued to recognize significant financial value from the transactions we’ve completed including a $2 million milestone payments from BMS, $4.6 million from Alnylam, $1.5 million ATL, $3.3 million of revenue from Ibis, which represents the 72% increase from the second quarter of 2007 and $656,000 of revenue for Regulus. We are on track to meet our guidance for 2008, with a pro forma NOL of less than $15 million, and cash of at least $450 million, which we expect will last for at least five years and does not include any additional cash from Abbott, should we require Ibis. Our strong financial position is the direct result of the successful execution of our business strategy. Because of these successes this is the second profitable quarter we have recorded in a year. We are not yet at the plan of sustainable profitability and our quarter-to-quarter performance will continue to fluctuate based on one time events, such as the Teva, ATL license fee. Our significant continuing revenue base coupled with the business strategy supports the expansion of the pipeline while allowing us to control our expenses. We believe this strategy will lead us to sustained strong financial performance. So to summarize, we have received guidance from the agency and completed the license agreement with Genzyme and the development plan for mipomersen is well underway exemplified by the recent initiation of the Phase III Homozygous FH trial. Other drugs in our pipeline are advancing and showing promise and all the while we continued to receive licensing and sublicensing fees, which should show that we have the financial security to take our business to the next level. We look forward to sharing our progress with all of you as we continue our successes and now I’ll turn the call back over to Stan.
Stan Crooke – Chairman and Chief Executing Officer: Thanks Lynne, that’s a great report. As you have heard our financial performance is tangible evidence of the benefit that our business strategy with Antisense technology provides to the shareholders. Beyond financial performance the advancement of our drugs and the ability of Isis and our satellite companies to attract high quality partners in funding also provide evidence to the value of the technology the drugs and the strategy that we are pursuing. Mipomersen is the most advanced drug in our pipeline. The alliance of the broad pattern we announced yesterday is an important element of our proprietary position. It provides protection from competitor apoB antisense inhibitors. It covers both single stranded and double stranded RNA that is si-RNA. So, all antisense drugs, any antisense drug that’s complimentary to any site in the messenger RNA of apoB regardless of the chemistry or antisense mechanism of action. This is the first allowance in a series of very well filings protecting the therapeutic use of targeting apoB. This allowance provides broad protection of the Isis Genzyme apoB franchise, the company has continued to aggressively move for mipomersen towards the market over the next few months. In addition to the Phase III study we just initiated an Homozygous FH patients with coronary artery disease. Together with Genzyme we plan to initiate three additional trials to evaluate mipomersen safety and efficacy in reducing LBL cholesterol in high risk patients by the end of the year. These include the initiation of the study in apheresis eligible patients and two studies in high risk, high cholesterol patients. In aggregate these studies will involve approximately 500 patients so they will add substantially to the safety and activity data for the drug and we hope that will enhance its profile. In addition we are working hard with Genzyme and planning our EU regulatory strategy. Later this year we look forward to presenting the first of the mipomersen imaging data. In the first cobalt, the normal volunteers, we hope to show no increase in liver fat. But in subsequent patient cobalt, we hope to be able to show all the time that we see in man, what we saw in animals, which is in fact a reduction in liver fat. Finally, in addition to all the other activities going on we’re making excellent progress with our partners at Genzyme in defining the outcome study.
. : Looking at our partner drugs we’re also very encouraged by recent data announced by ATL and Teva regarding ATL TV-1102 and antisense’s drug targeting VLA-4 for the treatment of patients with multiple sclerosis and just eight weeks of treatment ATL was able to demonstrate statically significant reduction in disease activity for ATL TV-1102 in patients with MS. These results are as positive as we reported for any drug in these patients in this type of study ever. We believe these data provides further evidence of the broad applicability of antisense’s drugs and lay the foundation for further studies on ATL TV-1102 as a new treatment option for patients with MS. Remember, this drug works in the bone to reduce expression of VLA-4. And that then leads to an affect on the CNS disease, so, it’s a another drug, it’s another tissue, it’s another disease where we are showing great activity for second generation antisense’s drug. Finally, Ibis and Regulus continued to make excellent progress, earlier in the year Ibis received a $20 million investment from Abbott and entered into a distribution agreement with Abbott. Abbott has since invested an additional $20 million in Ibis to bring Abbott’s equity in Ibis to 18.6%, the second investment was the key step towards the completion of the full purchase of Ibis by Abbott. While expanding the Ibis technology into broader diagnostic markets with the help of our partner Abbott, Ibis also continues to benefit from government contract towards to fund the expansion of the application for the T-5000 system. In the last month, Ibis received new contracts for up to $1.6 million from the government. Over the last few days we’ve gotten several questions regarding the recent articles in the Los Angeles Times and other papers that suggested that the Ibis T-5000 Bioscinece technology was used in the investigation of the Anthrax Bioterrorism event. Obviously we’re not at liberty to discuss anything we do on behalf of our government sponsors and thus can’t comment on any aspects of the Anthrax senior typing studies attributed to Ibis news and articles. I can’t tell ever that the T-5000 system is being actively used by many government agency and to the extent possibly we are sharing those results with the broader scientific community. As you know, Ibis technology has been pioneered to provide capability. So, we are actively and precisely characterizing infectious organisms including those like the Bacillus anthracis. For example, this year’s ASM Biodefense Meeting we along with the CDC and Northern Arizona University presented results in which 89 strains of Bacillus anthracis were genotyped including the Ames strain, a very highly virulent strain that was used in bioterrorism. Ibis has the existing contracts focused on pathogen detection and characterization with several government agencies including the department of Homeland Defense, The Defense Strength Reduction Agency, The National Civil Help, the FBI and others. We have actually placed several instruments within government facilities administered by the department of defense, the department of justice and of course the CDC. Regulus also continues to maintain a strong intellectual property position just to obtain rights to new and promising microRNA [mi1 81] that has shown early promising areas of inflammatory diseases. This is an example of a target patent application that we are requiring and these target patent applications then added with co-patents that we believe give us control of the therapeutic use and therapeutic approaches to microRNA broadly. 2008 has been an exciting year of great progress I’ve only highlighted a few of our recent accomplishments as of stage for the upcoming milestones. But, I want to focus on those milestones we think we have a more exciting days ahead of us. As I mentioned we planned to initiate three additional new trials studying within this year and present liver imaging safety data on the drug also later this year. We planned to initiate a Phase I clinical trial on our CRP inhibitor. If we just think about all the diseases in which CRP is involved, and the fact that we can selectively see inhibit CRP to evaluate each of these opportunities. You can see how significant opportunities at CRP in addition may present. We are planning to report Phase II data in patients with Type II diabetes with our PTP-1b inhibitor, novel insulin sensitizer in a study in which it used in combination with sulfonaurea. This study was designed to determine if Isis 113715 can indeed lower glucose without causing hyperglycemia, and many of the other side effects associated with other Type II diabetes drug, and to confirm if it indeed lowers LDL cholesterol as we showed in the previous Phase II trial. Drug of course, glucose, LDL cholesterol and has none of the side effects or drug interactions of the other Type II diabetes insulin sensitizers. We find a complete Phase I study with our glucagon receptor inhibitor which targets the glucagon receptor full again the treatment of Type II diabetes. Remember, this is our much more than a simple Phase I trail, because in this study we are administering a glucagon challenge. So, this study will give us direct evidence to determine if we are producing the same effect in man that we have seen in many species of animals. We plan to initiate the Phase I study for our first CNS drug administered directly the central nervous systems targeting a gene called SOD1 involved in a severe form of ALS. We also plan to advance at least one new drug candidate in development and of course we are looking forward to the potential acquisition of Ibis by Abbott. Trying to get some full agenda and we think there is a lot more to come. Investments we have made in our technology coupled to novel business strategy, our yield in financial results has enabled the creation of our ever expanding portfolio of antisense’s drugs that has potential that positive affects on diseases from cardiovascular to metabolic to cancer and inflammatory and central nervous system diseases. We think that’s a great opportunity and we have the financial strength to do all this now without any compromise. And with that then I’ll open up the call for questions. Teresa, if you can set us up for questions, I’ll appreciate it.
Operator: Thank you. The question and answer session will be conducted electronically. [Operator instructions]. And we’ll go first to Jim Birchenough with Lehman Brothers.
Jim Birchenough: Hi, guys. Just a question on the mipomersen program. Just wondering if you’d any greater clarity from FDA on whether circuit endpoints like LDL reduction would be a regulatory basis for approval for the Homozygous population for high risk patients whether you can move those discussions forward at all?
Stan Crooke: The position of the FDA is that LDBL cholesterol is an appropriate endpoint for very high risk patient. And so, obviously any patient that meets the very high risk definition is a patient that should be in a study that has LDL as the primary endpoint.
Jim Birchenough: And what is that definition of very high risk then?
Stan Crooke: Well, it’s straight from the framing end definitions and that includes people who have very high cholesterol that can get to target at using traditional agents and have either coronary artery disease or cardiovascular disease of one sort or another. So, generally I think that’s the simplest way to think of it.
Jim Birchenough: So, just following on with that if you look at the population that’s being enrolled in the second Phase III that you’ve announced yesterday, is that a population where FDA you would accept LDL as an endpoint for registration?
Stan Crooke: I think we are planning for LDL to be an endpoint that’s acceptable for homozygous FH and for the apheresis-eligible patients and I think the definition -- have brought the definition of very high risk yields remains to be better defined with the FDA.
Jim Birchenough:
Stan Crooke:
Jim Birchenough: Great. Thanks for taking the questions.
Stan Crooke: You bet.
Operator: We will go next Mark Monane with Needham.
Mark Monane: Good morning and congratulations on a great productive second quarter and beginning of the third.
Stan Crooke: Thanks Mark.
Mark Monane: Question for you regarding definition that Jim talked about, high risks versus very high risk, I mean, having high cholesterol is showing not a good thing, if you could add anything to those definitions? Is there a very, very high risk category? And maybe any update on what on the outcome study being planned as part of a comprehensive package?
Stan Crooke: As I think of it, there are very high risk and high risk patients and we are developing a drug to be used in combination with other drugs principally in patients who can’t get the target. So, by large most of the folks in the study have high cholesterol that hasn’t -- well all the folks in these studies have high cholesterol that hasn’t been amenable to get into target with the use of the available agents and most of them have a cardiovascular disease. And the categorization of very high risk and high risk is an algorithm that considers the level of cholesterol, the level of cardiovascular risk, the age, whether they have other lifestyles that puts them in a higher risk such as smoking and the like, and those who all have been fairly well defined for a number of years. So, what our plan is focus on very high risk patients and those high risk patients, even high risk patients are principally what you would think of the secondary prevention because they already have some evidence in many cases of cardiovascular disease.
Mark Monane: Any update on the outcome study? What your plans are? What it might look like with your partner Genzyme?
Stan Crooke: We are making lots of progress and when Genzyme do plan to discuss the nature of the outcome study later in the year.
Mark Monane: Regarding the milestones that you’ve listed, you talked about the cholesterol study starting this year that the cholesterol studies and also the CRP trial, Phase I started this year. Can we expect any other of these milestones like 715 data this year? How should we be thinking about this?
Stan Crooke: Well, what we said about 715, as the study is progressing nicely and we hope to finish it very late this year, early next year. And we hope to report the data very shortly after we finish it.
Mark Monane: Very good. And then the last question is regarding the patent that you have, I guess the patent strategy here is looking at the targeting and the mechanism of the action. But then there is the unique patent on the novel chemical entity over new chemical entity. Can you talk about the strategy of adjusting the target or adjusting the mechanism versus adjusting a drug in particular?
Stan Crooke: We do it all, I think we control. So, of course, we have composition that matter patent and patent applications on all of our drugs including mipomersen. Secondly, method of used patents and what was allowed here as a method of use and that method of use includes any antisense’s mechanism and antisense’s chemistry, si-RNA for single strain except for Homozygous targeting any side in the message. And so, it reads a method of lowering apoB by targeting any side in the message. And then, of course, we have all of our core chemistry and mechanism of action in biology patents that give us a sort of lavish work of patent protection for the drugs and the technology. So, this patent that’s just been allowed is a very broad method of used patent that covers basically any side in the RNA that anyone could design and antisense’s inhibitor to interact with for any purpose that would be associated with apoB reduction.
Mark Monane: Thank you very much for the added information.
Stan Crooke: You bet.
Operator: Our next question is from [Levan Raschkow] with Cowen & Company.
Levan Raschkow: Good morning. Thanks for taking my questions. With first Phase III trial in Homozygous FH patients down going for some time, any involvement update that you could from that trial?
Stan Crooke: It’s going extremely well and we are right on schedule.
Levan Raschkow: Okay, 36 spectator, next year any permanent fix on what we would see there from that trial next year?
Stan Crooke: No.
Levan Raschkow: Okay. And one more question, the Phase II trial of the diabetes campaign 715, could you remind us the design of that Phase II trial?
Stan Crooke: Yeah, it’s a study in which patients have established diabetes, they’ve brought in for a period of weeks and rest in and out of their drugs and stabilize on the sulfonaurea. And then it’s -- then they are randomized to see that the placebo 100 mg per week or 200 mg per week of 715, they are treated for 3 months and the endpoint is two weeks after the last dose. And it was the involvement of first group that 100 milligrams of 715 the second group got the 200 milligrams because this was our first experience with 715 in combination with Type II diabetes agent. The primary endpoint of hemoglobin A1c, I think it week 15 if I remember correctly, the secondary endpoints are various measures of glucose and the ability to lower LDL cholesterol.
Levan Raschkow:
Stan Crooke:
Levan Raschkow: Okay, thanks for the clarity.
Stan Crooke: You bet. And if you want more information we can send you the summary of the posters one that at the ADA.
Operator: We’ll go next to Geraldine O’Keith with Fortis Bank.
Geraldine O’Keith: Hello, good morning and congratulations on a great year so far. Stan, what color you, you are very rich now, got a lot of money in the bank. And I think its in the press release that you expected to last for five years. Maybe you can shed a little bit more light on how you expect to spend that? And if you would not expect to be profitability in five year time?
Stan Crooke: I’ll let Lynne answer the second question, she is good at taking about how we are going to save money and I’ll tell you how to spend it, except for our fund.
Lynne Parshall: Anything, let me go first. Obviously we are in very strong financial position now. And that has been the case, our growth is sort of very attractive what we think would pick, good drugs and good markets. So, in putting any one of the drugs in the late stage of the pipeline on the market would make us profitable, very close to being able to be profitable now on the basis partnering revenue license fees and R&D funding. So, you can see that we’ve got a lot of things that are moving along nicely but I can’t give you our time profitability projection. And for now I’ll let Stan tell you how we are going to spend the money.
Stan Crooke: I think certainly, what I find very interesting about antisense in our business model. Since we are able to do all this with and yet spin with very little money and that’s all tied to keeping the company small, during early discoveries and early development and licensing our drugs at Phase III and not building all the infrastructure necessary for Phase III for commercial applications and so on. We think that strategy that works given the efficiency of antisense. And the evidence for that is straightforward, look at our financials and look at the pipeline and look at what we are doing. So, we tend to continue to that and clearly we can be cash flow positive and profitable, just to understand before even the first major drug gets marketed. We are planning to prudently invest more but very cautiously. And the areas we will be enhancing our first, we are going to retain more of our drugs longer that is through Phase II. We think that those Phase II data just add tremendous value. Second, we are going to be doing more robust Phase II programs CRP is an example but we will certainly be asking as many of the appropriate questions as are feasible in Phase II. I think that will add significant value to all of our drugs. And third, we are expanding into new areas, we are moving into CNS and we are re-integrating our cancer program and so you will be seeing significant number of new drugs and development and you will see it expanding into some therapeutic areas in which we haven’t been active with drugs developed by us over the last few years. I think that’s a bad as precise as ought to be today. But I hope I can give you an idea of how we’ll spend the money. We are not going to be in the category of that tech companies. We’re running through a $100 million or $400 million a year. We don’t need to do that, we don’t intend to do that.
Geraldine O’Keith: That’s very helpful Stan. Would investments for the future is it also in queue perhaps investing in additional technologies?
Stan Crooke: Yeah, we’ve always, even when we didn’t have a lot of money invested in continuing to advance antisense technology. We are still at the end of the beginning in RNA based drug discovery. So, we are continuing to invest very substantially in all areas of basic research that involve our technology. We had no intention of, in the near future expanding into other technologies, we don’t need to. We can, with all new little group of people put two to four drugs per year into development with the technology that we have today. And by just investing slightly more, we can up that number meaningfully. That’s the way to spend our money.
Geraldine O’Keith: Okay, thank you very much. Congratulations again.
Stan Crooke: Thanks.
Operator: We’ll go next to Ian Samaya with Thomas Weisel.
Ian Samaya: Thanks sir, thanks for taking my question. Just on the mipomersen program, Stan, you mentioned that EST is willing to accept the LDL lowering influence depending on the risk of the patient. Can you talk about from a safety standpoint, the liver -- potential for liver abnormalities, what level or colors is there from the FDA, depending on the diverse profile division?
Stan Crooke: No, I don’t think we can be precise about that and I don’t think the FDA even if you would ask them and they would tell you would maybe a precise answer to that. What happens as you look at the needs of the patient and the value that the drug brings then you make an assessment what the -- which profile is that’s how the way it’s always done. And I don’t know precise outcome, I do think it is interesting when you look at the stats in Phase III data and of course, these are the drugs that were used by everyone. The insulin of three up in the normal of ALT, when ALTs are measured monthly and require confirmation before they are reported, wants to know to the 5% if I remember correctly depending on the agent and the dose. And if you go back to the Phase II trials, the very few Phase II trials that have looked three times up as normal as function of those, the higher the dose of (inaudible) greater the incidence of ALT. So, this in fact, I think a substantial tolerance even in very low risk patients for some elevation in ALTs because people recognize that that’s just a sort of natural consequences of fiddling with lipids in the liver. I think what the FDA and the clinicians that I talk to are principally concerned with is is there any evidence of severe liver toxicity, idiosyncratic severe liver toxicity and (inaudible) best predictions of that. So, we are feeling very confident that the ALT profile of our drug is going to be very attractive and we certainly have no evidence of our drug producing any sort of severe liver toxicity. So, in some other words I don’t if I answered you question but I have to say that in the patient that we are talking about we are certainly very, very optimistic that the liver safety will be attractive related to the needs of the patients and the therapeutic of the drug.
Ian Samaya: Are you referring specifically to the Homozygous are also the heterozygous in the patients?
Stan Crooke: No, I’m talking about all the patients. I think if you look at all of the data we have, we actually have remarkably well tolerated lipid lowering drug with regard to liver and the more data we see, the better we feel about it. Now, clearly we have to get a lot more experience and the key step for us in the coming years is to gain that experience and large enough patient would and to do that prudently and then introduce the drug to patient drugs where we are doing the most value in a fashion so that we gain commercial experience that will teach us about the safety in real medical practice. So, we have all that ahead of us. There is work to be done, but as I look at this drug, its predictable, it works in every patient, it does thinks that no other drug can do and so far is imminently tolerable, so its imminently developable.
Ian Samaya: Thank you very much.
Stan Crooke: You bet.
Operator: [Operator Instructions]. We will go next to Aaron Reames with Wachovia.
Aaron Reames: Thanks for taking my questions and congratulations on a strong quarter. First question I have just is an accounting question, in terms of interest income as the rate that we saw this quarter, what we should expect on a going forward basis?
Lynne Parshall: Erin, no, that has in addition to what you would think of this traditionally interest income. It has a variation in it because of the derivative accounting that we have to do for some of these. So, I can get accountants on the phone with you and walk you through how that likely will fluctuate overtime but no, the answer is no.
Aaron Reames: Okay, and then is there any update that can be provided on the regulatory status in Europe and any potential conversations that you had with the regulators there?
Stan Crooke: I want to leave questions like that for Genzyme to answer primarily. But, what I will say is that the teams are working really well together, we are making great progress on putting the documents together and getting the meeting set up and we are feeling very good about everything.
Aaron Reames: Alright. Thanks for taking my questions.
Operator: And our next question comes from Carol Werther with Summer Street Research.
Carol Werther: Could you just tell us a little bit more about this study that started the second Phase III study. Do these patients that are at high risk, is there a LDL goal, is it 100 or is it 70? The ones that aren’t reaching goal?
Stan Crooke: The studies in patients with Heterozygous FH and as you know that’s in America, that’s not a generic diagnosis, that’s clinical diagnosis, there are 100 patients. The primarily end point is LDL reduction after 26 weeks of treatment, so 28. And if I remember correctly it is 2 to 1 immunization drug to purse though. These are patients who are on a maximum tolerated therapy and have not been able to get their LDL to target. I think the requirement to get in the study maybe a 130 LDL; I don’t remember that for sure Carol, so, don’t hold to that. And these people all have coronary artery disease. So, in a perfect world I would say that most cardiologists would tell you they’d like to see them get to 70. But in these patients people would be delighted to get them to a 100.
Carol Werther: Yes, okay, great. Thank you that make sense. And then after the study is done at the 28 weeks, do you plan to follow these patients beyond that or are you sitting --?
Stan Crooke: Yeah, all of the folks in these trials will be allowed to continue, the opportunity to continue the drug in various open label extension studies and other processes we want to get as much long term safety data out of all of the patients that we have as possible. So, we have the primary endpoint in all these studies available all of that after six months of treatment that we certainly are having success in getting people to roll over and open label extension studies that gives us the long term safety data.
Carol Werther: And how often are they monitored for liver abnormalities?
Stan Crooke: I don’t remember in this new study that’s starting, if you might want to ask the folks that Genzyme or even we can check that for you. But in all of our studies we’ve been monitoring weekly for all the reduction in liver safety and then as we move to the longer term studies after an initial period of weekly evaluation, we are going to monthly.
Carol Werther: Okay, great. And can you share with us any of the secondary endpoint, are you doing any imaging study?
Stan Crooke: No, not in that trial.
Carol Werther: Okay. And should we assume that when you start these three additional pivotal trials this year that some of those will include patients in the EU?
Stan Crooke: Oh, sure. The additional trials include apheresis eligible patients, very high risk patients and then two studies in high risk patients. And as you know, a lot of the data on mipomersen to-date have been generated in EU, we have continued to enroll patients both in the US and in Europe.
Carol Werther: Okay, great. Thank you very much.
Stan Crooke: You bet.
Operator: [Operator Instructions]. It does appear there are no further questions at this time. Back to Crooke. I would like to turn the conference back over to you for any additional or closing remarks.
Stan Crooke: Again, thanks everyone for your interest and thoughtful questions and we look forward to continuing to make great progress and tell you all about what we are doing. Thanks.
Operator: That does conclude today’s conference. Thank you for your participation, you may disconnect at this time.